Operator: Thank you for standing by. And at this time, I would like to welcome everyone to today's Backblaze Fourth Quarter and Full-Year 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mimi Kong, Head of Investor Relations. Mimi, please go ahead.
Mimi Kong: Thank you. Good afternoon, and welcome to Backblaze's fourth quarter and full-year 2024 earnings call. On the call with me today are Gleb Budman, Co-Founder, CEO and Chairperson of the Board; and Marc Suidan, Chief Financial Officer. Today, Backblaze will discuss the financial results that were distributed earlier this afternoon. Statements on this call include forward-looking statements about our future financial results, the impact of our go-to-market transformation, sales and marketing initiatives, cost-saving initiatives, results from new features, the impact of price changes, our ability to compete effectively and manage our growth and our strategy to acquire new customers and retain and expand our business with existing customers. These statements are subject to risks and uncertainties that could cause actual results to differ materially, including those described in our risk factors that are included in our annual report on Form 10-K and our other financial filings. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today and we undertake no obligation to update them, except as required by law. Our discussion today will include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for our GAAP results. Reconciliation of GAAP to non-GAAP results may be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC. You can also find a slide presentation related to our comments in the webcast, which will also be posted to our Investor Relations page after the call. Please also see our press release or presentation for definitions of additional metrics such as NRR, gross customer retention rate, ARPU and adjusted free cash flow. We'd also like to inform you that we will be participating in the Oppenheimer Emerging Growth Conference tomorrow on February 26 and the Citizens JMP Tech Conference on March 3 and 4. We hope to see you there. Thank you for joining us and would now like to turn the call over to Gleb.
Gleb Budman: Thank you, Mimi, and welcome, everyone, to the call. Revenue grew 18% over the same period last year and B2 Cloud Storage grew 22%. B2 Cloud Storage, our fastest-growing solution is now over 50% of the business in Q4 and adjusted EBITDA margin came in at 14%, doubling over the same period last year. I'll talk more about the quarter in a moment, but first, I wanted to take stock of where we've been and where we are going. In the last four years, we have more than doubled both the revenue and adjusted EBITDA margin. We transitioned from a company selling primarily to SMB customers to a self-serve model to one that also supports enterprises with a direct sales and partnership model. We also doubled our number of data regions and launched a host of innovations to provide customers and partners with more value. As we look to the next few years, we are focused on becoming a Rule of 40 company, delivering both growth and profitability and continuing to build the leading storage cloud for the Cloud 2.0 era. Now let's talk about our recent results. During our last earnings call, we shared two key initiatives: a go-to-market transformation focused on driving B2 growth and our plan to be adjusted free cash flow positive by Q4. First, I'll share details about our go-to-market transformation, and then Marc will provide an update on our path to becoming adjusted free cash flow positive. I am pleased with the impressive progress our team has made on our go-to-market transformation as we are already seeing strong early signs. ARR win rates were up significantly, and sales productivity in Q4 doubled year-over-year, leading the team to meaningfully beat quota for the quarter and the full-year despite being behind quota when Jason, our new Chief Revenue Officer arrived in July. Not only did we increase sales productivity across the sales team, but we also signed a significant expansion for an existing customer for over $1 million based on annual contract value. We had a record sales booking quarter, which was greater than the prior three quarters combined. B2 Cloud Storage had net new ARR sequential growth of $5 million, a record outside of that driven by the price increase. These are excellent early signs that the go-to-market transformation is working. As a reminder, due to the nature of us being an as-a-service business, there is generally a lag before these leading indicators translate into revenue. However, we do believe that the low point in organic growth was behind us in Q3, and we are already seeing an acceleration in B2 growth. Marc will go into more details later on in the call. Now how have we achieved these results and acceleration to date? We've done that through the three main focus areas we talked about last quarter, upskilling partnerships and sales plays. First, on upskilling the sales team, Jason is moving at lightning speed and has an outsized impact in a short period of time. He has implemented robust training and a more rigorous and repeatable process to help ensure that the team is set up well to continue to move up market. In the last few months, we also hired field sales leadership and additional experienced quota-carrying reps to increase sales capacity along with a VP of Demand Generation to help fill the pipeline. Second, on the partnerships front, we are making significant headway. Last quarter, I spoke about the changes we made with our channel program. I'm happy to share that the average deal size of the leads coming in from the channel in Q4 has nearly doubled year-over-year. Next, I'd like to talk about how we are meaningfully up-leveling our alliance strategy. This program is now structured along a co-build, co-market and co-sell strategy. To co-build, we are currently working on joint solutions with key technology partners. As examples, we are working with two partners to create a joint solution for AI powered media workflows and with another partner to create a joint solution to support compute and storage needs around large AI data sets. Third, the sales plays. We are focusing on four key plays to drive repeatability and efficiency. These are application storage, IT backup, media and entertainment and powered by Backblaze, which is our white label offering. Our marketing efforts are becoming more tightly aligned with these sales plays to ensure we have the right positioning, collateral programs and more to drive greater sales efficiency and market awareness. On market awareness, I'll note that we were recently recognized by G2, a popular software review site as the best object storage solution for fastest implementation, ease of use and high performance. Turning to our business highlights for the quarter. We continued to add a number of larger customers in a diverse range of industries. Just a quick sampling, we signed a company that provides an application developer platform for over $100,000 in ARR. This customer chose Backblaze because they were looking for a cost-effective solution to archive data from their data warehouse. A large Japanese social media company committed to Backblaze for over $50,000 in ARR recognizing that we were an affordable and hot archive solution for their content. And a digital music media company signed a deal for about $50,000 in ARR and is using Backblaze as their origin store for their streaming content. In addition to signing a number of larger customers, our customers also continue to expand with us. As an example, in Q4, three existing customers in the surveillance, gaming and AI industries each expanded their usage to an additional $100,000 in ARR run rate. It's a pattern we've seen where customers often start small and lean in as they see the significant value our platform provides at scale. And I'll highlight a customer who signed a significant expansion in Q4 for over $1 million in annual contract value. They chose our Powered by Backblaze offering, thus enabling them to offer cloud storage to their customers. [Indiscernible]. First, our white label Powered by Backblaze solution launched in Q1 of last year. We've already signed a number of channel and technology partners to offer this innovative capability including this latest $1 million-plus ACV deal. This speaks to our ability to innovate and drive growth from our R&D investments. Second, this customer chose Backblaze in part because our platform's ability to deliver high performance and affordability, a rare combination, and for our free egress, which was key to their business. And third, this demonstrates our continued progress in being able to move up market. Next, I'd like to address the seismic shift taking place in the AI industry. A few weeks ago, the major announcement of DeepSeek illustrated that AI innovation is happening rapidly and everywhere. Thus, it is increasingly clear that companies need flexible AI tech stack that can adapt to this dynamic environment and leverage data effectively. We believe that those who can freely flow their data to where innovation is happening, as they can with Backblaze, will be the best positioned to win in this evolving AI landscape. And those who are constrained by the walled gardens of the traditional cloud providers may struggle to keep pace. We believe this need for flexibility and data mobility is a big factor in why we are seeing such strong momentum in our AI customer segment. We now serve hundreds of AI customers. This has translated into nearly a 10-fold increase of data stored by these companies with three out of our top 10 customers as of December 2024 now being AI companies. Because we focus on the storage layer, we are not burdened by the massive CapEx investments being made in GPUs, but we still benefit from AI tailwinds. Recently, another AI customer gave us a glowing endorsement. And I quote, "we looked at all of the cloud providers you would expect. Backblaze delivered the right combination of price and usability and we didn't have to change anything on our side to make it work." Our opportunity at Backblaze to power the AI revolution is exciting, and I expect AI will be a major growth driver for many years to come. Finally, 2025 is a pivotal year for Backblaze as we expect to accelerate B2 revenue growth, target being adjusted free cash flow positive in Q4, move toward being a Rule of 40 company and continue to build the ideal cloud storage platform for the open cloud. Now I will turn it over to Marc. Marc?
Marc Suidan: Thank you, Gleb, and good afternoon, everybody. It's been a very busy six months since I joined the company where we've deployed numerous changes to position ourselves for higher growth and free cash flow profitability. We are executing on an aggressive agenda to drive change quickly. We launched a go-to-market transformation and a cost restructuring initiative, which are both showing good early results. We also successfully completed an oversubscribed secondary offering for $37 million in net proceeds in November of 2024. I want to note that while the company did not need additional capital to turn free cash flow positive, we felt it was prudent to execute a secondary offering to reinforce our liquidity and generally strengthen our balance sheet. Now let me share our results for the quarter. Q4 revenue was $33.8 million, representing 18% year-over-year growth and slightly ahead of the midpoint of our guidance. Computer backup revenue was $16.7 million, representing 13% year-over-year growth primarily driven by price increase implemented in Q4 of 2023. B2 Cloud Storage revenue was $17.1 million, representing 22% year-over-year growth primarily driven by existing customer data expansion and new customer acquisition. I'd like to point out that in Q4, we fully lapped the B2 price increase. The strength of our B2 growth in Q4 is easier to see if we exclude the impact of the price increase from the prior period. Excluding the benefit of the price increase, third quarter organic B2 growth would have been approximately 19%, which we view as our low point of growth. Compared to our fourth quarter, growth was 22%, representing a 300 basis point sequential improvement. As Gleb noted, we expect that our go-to-market transformation should continue to accelerate B2 revenue growth throughout 2025, which I will comment on further in the guidance section. Our B2 ARR for Q4 is $70 million, representing a $5 million increase from Q3 and as Gleb mentioned, this is the largest organic sequential dollar increase for B2 since our IPO in 2021. This gives us further confidence in the early success of our go-to-market transformation, given that ARR is a leading indicator of revenue. Net revenue retention, or NRR, for the total company was 116% compared to 109% last year. The year-over-year improvement mainly benefited from the price increase that we put in place in Q4 2023. The total customer retention was 90% in the quarter compared to 91% in the prior year. Our customer retention has remained consistent since going public in 2021. Overall, company ARPU is $268, up 18% year-over-year. Our B2 business continues to show strength with ARPU climbing to $645, a 12% improvement over last year. Moving down to the income statement. Adjusted gross margin was 78% for the quarter, showing continued strength with the all-time high seen in Q3 of 2024. Adjusted EBITDA continues to improve at $4.6 million or 14% of revenue for the quarter, driven by revenue growth and strong cost management. The Q4 adjusted EBITDA margin more than doubled from the prior year and represents an 800 basis points improvement. Q4 only partially benefited from the restructuring because the quarter included about half of the benefit on a run rate basis. This further demonstrates that the operating leverage is efficiently working, which is roughly 75% of our incremental revenue dollars flowing to the bottom line. Turning to the balance sheet. We finished the quarter with $55 million in cash and short-term investments. As a reminder, we raised $37 million in net proceeds in a secondary offering and paid off the line of credit in Q4 which had $4.7 million outstanding. Last year, we disclosed that we expected to end the year with at least $20 million of cash on hand. I am pleased to share that excluding the secondary offering and the line of credit payoff, we would have ended the year with $23 million in cash. After the successful secondary offering, we decided it was best to pay off and close the line of credit, which had relatively unfavorable terms. We did not see the merit of paying fees to maintain a line of credit with 100% cash restriction of borrowed money. I'd like to highlight that our liquidity as of Q4 has improved with our current ratio going above one for the first time since Q1 of 2023 or eight quarters ago. Additionally, we have significantly increased our equipment leasing credit lines and now have access to over $80 million in credit, which is more than double from the prior quarter. Our cash flow from operations for the year are $12.5 million, a dramatic improvement from cash usage of $7.4 million for the same period last year. This represents a $20 million improvement over the prior year in cash flow from operations. Our adjusted free cash flows for the full-year were negative $20 million compared to negative $43 million last year showing a significant improvement of $23 million, primarily as a result of revenue growth and cost-cutting initiatives. Free cash flow will continue to be a primary focus for us. Moving to guidance. We expect our 2025 full-year revenue to be in the range of $144 million to $146 million and our Q1 revenues to be within the range of $34.1 million to $34.5 million. As a reminder, the price increase, which helped drive revenue growth last year, has fully lapped with the exception of a small percent left on our Computer Backup business. In 2025, we expect to exit with B2 growing over 30%, a significant increase and driven primarily by new customer acquisition and expansion of existing customers. We just posted our earnings presentation, which highlights our B2 quarterly outlook for 2025 driven by our go-to-market transformation. What you'll see is that B2 hit a low point of growth in Q3 of 2024 and accelerates from that point forward to over 30% by the end of 2025. Finally, we project adjusted EBITDA for the full-year to be in the range of 16% to 18% and adjusted EBITDA guidance for Q1 to be in the range of 13% to 15%. We remain on track to exit Q4 of 2025 with adjusted EBITDA margin above 20% and we expect to be adjusted free cash flow positive in Q4 of 2025 as well. From there on, we expect the operating leverage will kick in to help us grow free cash flows in a sustainable way given our low variable cost. As we move to be a Rule of 40 company, we are laser-focused on executing our go-to-market strategy and increasing profitability to deliver on these results. In summary, we are very excited about the path ahead and the momentum that is already in place to create shareholder value. And with that, let's take your questions. Operator?
Operator: Thank you so much. [Operator Instructions] Okay. It looks like our first question today comes from the line of Jeff Van Rhee with Craig-Hallum Capital Group. Jeff, please go ahead.
Jeff Van Rhee: Great. Thank you. Hi, guys. So just a few for me. On the partner front, it sounds like you've got a lot of things changing. Any, hard and fast, like what are the key metrics you're monitoring for the year, specifically any quantitative goals for partners in 2025?
Gleb Budman: Hey, Jeff. Good to hear from you, this is Gleb. So on the partner side, we have the two different parts of it. We have the channel and then we have the alliance side of it. On the channel, it's somewhat traditional style metrics. So we look at pipeline and then sales productivity. Sales productivity, when we measure it, it's average ARR closed one per person on the team. And so it flows through to the channel that way as well. On the alliances side, it's a little more nuanced. We're doing co-build, co-market and co-sell. So what we're looking to do there is build up solutions that we jointly go to the market with and to solve specific customer problems.
Jeff Van Rhee: Very helpful. And then just one last for me. When you look at the two sub-segments, you think of maybe a little further out, how do you see B2 over, say, a three to five-year period and same for Computer Backup in terms of growth rates? What do you envision? How do you see it playing out?
Marc Suidan: Yes. Hi, Jeff. I mean, the way we see it is we should finish 2025 with B2 growing year-over-year at 30% plus and then that should continue. It's a disruptive solution in a market that's already growing at 18%, 19%. So we'll beat the market there. On the backup side, I mean, if you think about the backup side, I would say the first half of the year will grow because of the tailwinds from the price increase for multiyear contracts. And afterwards, they'll pretty much follow the customer count that we have on the earnings release since the majority of it is consumers, so that would – so it would exit the year at minus 2%. So overall, it will be flattish for the year. The backup side, longer term, frankly, it's a good business, but it's more about the business side versus the consumer. The consumer is in a secular macro decline versus the business side is the growth opportunity. And since we're building the installed base, there's a good cross-selling opportunity between B2 and that overall backup solution.
Jeff Van Rhee: Yes. If I could sneak just one last in. Gross margins, Marc, just how do you see them progressing as we go through the year?
Marc Suidan: Pretty stable. That 78% we exited the year which should be pretty stable into next year. We don't see any major changes in that adjusted gross margin.
Jeff Van Rhee: Okay. Great. Thank you.
Operator: And our next call – or excuse me, the next question comes from the line of Ittai Kidron with Oppenheimer. Ittai, please go ahead.
Ittai Kidron: Hi. Thanks. Appreciated it and great commentary, Gleb, on the business and Marc as well, great stuff. Gleb, I wanted to dig in into the AI commentary. Looks interesting. I guess maybe you can perhaps give us a little bit more color on the use cases within AI, meaning it's one thing to have a customer who is an AI customer. But if the use cases that they're using it for are not actually levered towards what they're doing, it's just another customer. So help me understand in what way is their growth going to translate into your growth. That will be helpful.
Gleb Budman: Yes. Thanks for the question, Ittai and it makes absolute sense. From many of these customers, we are very directly tied to their growth. We are their strategic vendor that enables them to succeed. So breaking down the AI data pipeline a little bit, there's – we think of five different components of the AI pipeline that is broadly depending on which customers are doing what. So there's data collection where they need to get data from all over the place wherever that's coming from and store it somewhere. The data processing, which is all of the labeling, tagging, et cetera. The model training, where they take the data, you bring it to some GPUs and then train to create a model. There's inference where they run the actual applications and use the models to get insights and then there's monitoring of all the systems. So we have customers who use it in each of these areas. Data collection is one of the most – one of the largest areas that customer uses for. We have customers that are scraping data from across the Internet and using that for collection for model training, they're using us as the destination for all of that data. We have customers who have large data sets that from – that they've built up over years around photography, videography, et cetera, that they're using to train different models or sell for AI insights. We have customers who are using them for all of those kinds of data collection and storage components. The next part of it, which is data processing. We have customers that then take that data use our storage and then free egress to third-party and open source tools for data labeling. And so they use us for that piece of it. Model training is actually a significant one for us also. We don't do the GPUs themselves but one of the things that you've probably heard often is companies are being limited on innovation on AI because of the limited access to GPU availability. And so what they're finding they need to do is get their data to a multi-cloud GPU-type tech stack. And so what they're using us for is keep all the data with us then egress it to whichever GPU cloud has availability of the GPUs they need. And so they're building these multi-cloud GPU environments where we are the core starting point for their data pipeline. And then for the inference side, we have lots of customers who run their actual application on Backblaze where we are the storage for it, and then they're inferencing it through one of the places where they've either built their own model or where they use one of the open source models for the information. And then finally, on the monitoring side, obviously, they keep a lot of the log files with us. So for many of these customers, we are actually the core strategic location because obviously, the AI thrives on the data itself.
Ittai Kidron: That’s very helpful.
Marc Suidan: What I want to add to that is we're obviously incredibly enthusiastic about the traction on the AI front. But I'd say we took a more prudent approach of what to incorporate into the rest of year outlook because it's a very nascent industry for us and everybody. So us achieving the 30% by Q4 of 2025, we bet on just continuing at this pace. And hopefully, it does. And also, frankly, just to be clear on what makes up the numbers and the guide out there. We did have a larger customer loss in Q1, so that's not reflecting any of this, but it's reflected in these growth numbers. So our new customer acquisition engine is hot and running. That's kind of pretty much what it says.
Gleb Budman: Yes. And maybe just one other thing on your specific point Ittai is, one of our customers is actually they're a $1 billion construction company. So they're not at all an AI company. They've been using us for a while for data backup and cyber resilience. But what they have actually started talking to us now about is how do they evolve their business to take advantage of AI. And so the path that they're actually looking at doing with us is capturing all of the video footage from their construction sites that's captured by cameras, drones and the rest using that then to train models for understanding safety on their construction sites. Tagging all of the hats, the jackets, the gloves and all the other safety components that are part of the construction site requirements and then using that as inference where they can look at new construction going up and making sure that the proper safety measures are being taken. So even companies that have nothing to do with AI in general are actually looking at expanding their use cases with us to include AI in them.
Ittai Kidron: That's helpful. And then, Marc, on your – the acceleration in growth that you're anticipating on B2 through the year I guess, help me – it's all a bit counterintuitive in a way, right? Help me understand, and I understand all the changes you made in go-to-market and the booking commentary is quite interesting. But I guess, what, in your mind, because it feels like you're kind of heading in the right direction here, but what in your mind still needs to happen here for you to have very strong visibility into this? And – because again, it's not common to see this type of pattern through the year of acceleration. And so I just kind of wanted to make sure I get my hands around, what, in your view, you kind of already feel very good about and kind of have it in the pocket versus still needs to come for you to be able to deliver to this?
Marc Suidan: Yes. No, that's a good point, Ittai, right. So what I would say is I think we're off to a really good start, right? Because in Q3, if you factor out the price increase, we grew 19% year-over-year in B2. So already you're seeing an improvement in Q4. So all these things we're talking about record quarters and so on are already flowing through there. I think this is all execution time, right? I mean we have like this incredibly healthy win rate. So it is about consistency of execution. We've doubled our sales capacity. So obviously, you got to ramp up the new people, train them the right way, make sure your pipelines align the right way in terms of how it generates, where it generates. So I think it boils down to continuing our execution. And that's for the kind of, what I call, the direct sales model, right? I mean, Gleb spoke about the channel and the alliance, I wouldn't say that's activated yet, nor did we bake too much of that into these numbers, right? I see that more as a further benefits flowing into 2026.
Ittai Kidron: Got it. Maybe last one on the Computer Backup, just going back to the answer to the previous individual that made you kind of comment on exiting the year, the negative 2% or 3%, I think you said on a year-over-year basis, as the price increase fades away. I guess, should we think about this business going forward, not just 2025, but for the foreseeable future is a declining business? Is there – and if that's the case, why not take a more proactive approach on the price increases and just squeeze it more and more and more through the price increases? I'm just trying to think about the long-term longevity of this business?
Gleb Budman: Yes. Ittai, this is Gleb, actually. Let me touch on this for a second, and then maybe Marc will add as well. So I think what Marc talked about is that the consumer side of that business is in a secular macro decline. We don't expect that specifically to change. On a significant portion of that Computer Backup business is also businesses using us for their computer backup, ransomware prevention, cyber resilience and we do see opportunity there. And we are signing up customers, we launched that B1E functionality, the enterprise control in Q1 of last year. So we do see interest and engagement there, and we see some opportunity. It's not the core growth focus for us as a company, right? B2 is the primary core growth focus, getting it back to 30% plus by end of the year is where we're putting most of our energy but there is some opportunity there. In terms of price increases and the like, we don't rule it out. As we've talked before, it's something that we think we have as an option. But at the same time, one of the things we do view it is hundreds of thousands of customers worldwide who are fans of Backblaze who refer customers to us and support us as a community. So we want to continue to make sure they feel like they're getting a great value, great service and continue to recommend us to others.
Ittai Kidron: Appreciate it. Thank you.
Gleb Budman: Thanks, Ittai.
Operator: Yes. Thank you, Ittai. And our next question comes from the line of Simon Leopold with Raymond James. Simon, please go ahead.
Simon Leopold: Thanks for taking the question. The first thing I wanted to ask about was trying to put the AI stored data in some context. Do you have a way of sizing what percent of the B2 stored data is coming from these AI use cases? And I guess where I'm coming from is I imagine these are relatively larger data sets and therefore, maybe a higher proportion than historical, but just trying to get a way to get a sizing of this?
Gleb Budman: Yes. Hey, Simon, that's a good question. This is Gleb. So one of the things we talked about is that the data has grown tenfold. And one of the things we mentioned is that they are now three of our top 10 customers. So I would say that it's meaningful in terms of data growth for the organization. It's not massive as a percentage yet because, obviously, it's a newer set compared to 17 years of being in business but it is a fast-growing part of the business. In terms of the sizing per customer, it varies. We have lots of customers who are starting small with us. They're brand-new startups. And then we have customers who are already storing double-digit petabytes as individual customers. So it's across the range. Certainly, data is very – AI is a very data-intensive segment. So it's something that we believe there's a lot of opportunity. And when we look at some of these customers of ours that are storing double-digit petabytes, some of them are – they're very new companies, right? So I talked a moment ago about this construction company that's looking at doing AI with us. They're $1 billion revenue company. They've been around for 100 years. But they're just starting into the AI side of it. But a lot of these companies that are storing multiple petabytes with us started in the last year, two years, three years. And so we have lots and lots of these little companies that just started. I wouldn't be surprised if many of those end up becoming multiple-petabyte customers within a year or two years.
Simon Leopold: Great. The other thing I wanted to ask about was in January, you had announced opening a new data center in Canada. And I'm hoping to get a little bit of context here because I've lost track of where and how many locations you have. So basically trying to understand, one, how material is the opening of a new data center? And the other question is, are you exposed to any foreign exchange risk or do you price everywhere in dollars? Just a little bit of help understanding the international efforts? Thank you.
Gleb Budman: Yes. Thanks, Simon. So I'll start and then I'll let Marc touch on the currency component. So we have regions that customers can choose in the West Coast, U.S., East Coast U.S. and Central Europe. So this is our fourth region that we've opened. Canada is the fourth. So it's fairly significant for us in terms of one out of four. It's brand new, like you said, it's just launched in January. One of the things that we did that was unique with this region is we did it in partnership with an anchor tenant and an anchor partner. And so as opposed to building a data center and hoping that they will come, we actually worked with a partner, signed up together and then built the data center in partnership with them. So that derisks the investment behind the new region, and it also created a playbook for us, effectively, of how we want to go about opening other regions in the future. So that's on that side of it, and then maybe Marc can talk a little bit about the part of the question.
Marc Suidan: Yes, Simon, what I would say is there's no meaningful exposure to foreign currency risk. The expenses that are in Canadian on the lower side and the billings, the majority of our Canadian billings would be in USD. So minimal risk there. And then also, whenever we opened a region like we did in Canada, we also really make sure there's an anchor client to get started off with. That way in the, call it, the sum cost or the fixed cost to set up that first data center is quickly recovered by an initial client, and then from there, we scale pretty quickly. So I'd say there's no major exposures on the FX side for Canada.
Simon Leopold: Thank you.
Gleb Budman: Thanks, Simon.
Operator: All right. Thank you, Simon. And our next question comes from the line of Jason Ader with WB. Jason, please go ahead.
Jason Ader: Yes, thank you. Good afternoon guys. Just wanted to ask first maybe for you, Gleb, we've seen kind of a nice resurgence in the backup software market in this theme of cyber-resilience and ransomware protection. The backup market is growing at double digits after growing for as long as I can remember in the kind of mid-single digits. And I'm just wondering, have you seen that resurgence in the software market impact or benefit Backblaze is kind of a target for backups?
Gleb Budman: Yes, it's a good question, Jason. I think we've seen some additional interest in the business side of Computer Backup. And so as we talked about a few minutes ago, the consumer side is in a long-term secular decline, but we see opportunity on the business side. Ransomware obviously is becoming – has been for a while and is continuing to become a larger and larger risk factor for companies. It's often a board-level conversation. It's the number one risk that companies often talk about. And backup, while it's not very hot as a term is really the best form of protection against ransomware for companies. And so we believe that, that is an opportunity for us. It is an opportunity for us, especially with larger organizations. The go-to-market transformation is heavily focused on our B2 side of the business. But it is also looking at how do we support larger organizations with our Computer Backup offering. And I do think that there is opportunity there, especially around messaging to some of the cyber-resilience side of the need.
Jason Ader: Sorry if the question was confusing. I actually meant B2 Cloud as a backup target. So in other words, folks like Veeam and Commvault and others that are selling backup software, obviously, the customer needs a target where to store the backups kind of like – so I was just wondering is B2 Cloud seeing the use case of backup kind of percolate because of this secular trend in the market in acceleration and backup software growth?
Gleb Budman: I see. I misunderstood your question. Thanks for clarifying. So it is one of – backup and cyber-resiliency on B2 is and has been one of our core areas of focus. So we talked about sales plays and the sales plays that we are focused on are application storage, which includes all the application items including AI, IT backup and cyber resilience, media and entertainment and our white label Powered by solution. So it is one of our core four sales plays, and it is absolutely a significant area that has been and continues to be a growth area for us.
Jason Ader: Okay. Great. And then one last one for me and also for you, Gleb, when we think about the competitive landscape, like at the time of the IPO, there wasn't much competition, I would say, like in terms of a SMB-oriented cloud storage platform. I mean, you had like Wasabi and maybe a couple of other small guys. But – and I know you were partnering very closely with folks like DigitalOcean and Cloudflare. Can you just kind of update us on where the competitive landscape sits today? Are you seeing more competition than you did at the time of the IPO or less or about the same?
Gleb Budman: It's a funny question actually because I remember at the time of the IPO, a lot of the conversation was how are you entering and competing into a space where some of the world's largest companies are currently in there, right, with Amazon and Google and Microsoft, isn't that the most competitive market you could possibly play in. So in some ways, I would say, in a way, the market has not evolved that much competitively because Amazon, Google and Microsoft were there, Amazon, Google and Microsoft are still there. Having said that, I think one of the things that has happened also since then is companies have broadly realized that cloud storage is an incredibly important component of the tech stack. And for a variety of reasons, having that data with Amazon or Google and Microsoft is not necessarily the best choice. And so various other companies have started offering some kind of storage, including a variety of our partners, right? So Cloudflare is a partner of ours. They were a partner of ours pre-IPO. They launched a storage offering. DigitalOcean had – did, Vultr did, OVH, I mean there's a variety of other companies that have their own storage offerings. Many of these are still partners of ours because companies who want best-of-breed provider for storage, someone who's very scalable, high performance, very affordable, designed for the open cloud – these are customers choose Backblaze for that. And so our partners still want to support their customers with those kinds of requirements.
Jason Ader: All right. Thank you. Good luck.
Gleb Budman: Thank you.
Marc Suidan: Thanks, Jason.
Operator: And our next question comes from the line of Maxwell Michaelis with Lake Street Capital Markets. Maxwell, please go ahead.
Maxwell Michaelis: Hey, guys. Congrats on the quarter. I was wondering if you could share potentially a growth rate of customers with over $50,000 in ARR for the year. I think you had shared like a number related to that in Q2. I believe it was like 55%. I was curious what that was for the year. And I guess for a follow-up, I mean, what does that B2 guide insinuate for the growth of customers with over $50,000 in ARR for 2025? Thanks.
Marc Suidan: Yes. Hi, Maxwell, this is Marc. We didn't disclose it this quarter. But what I would say is the momentum on that front has been really good. I mean we talked about moving upmarket and what's interesting is we're obviously winning quite a $50,000 above, but there's also – we're on our third deal now that's kind of in that $1 million-plus range or right around $1 million. So it's been really positive where we're going, where we're headed, and that growth rate assumes ongoing momentum on that front.
Maxwell Michaelis: All right. Thanks, guys.
Marc Suidan: Thanks, Maxwell for the question.
Operator: Thank you. And our final question today comes from the line of Zach Cummins with B. Riley Securities. Zach, please go ahead.
Ethan Widell: Hi, there. Ethan Widell calling in for Zach Cummins. Thanks for taking my questions. When you speak to your four kind of key sales plays. It sounds like maybe powered by Backblaze is core to your upmarket strategy. I was sort of wondering to what extent the other three are?
Gleb Budman: Yes, it's a good question. So what I would say, first of all, is all four are core to our upmarket strategy. They have a slightly different approach in terms of what we're offering to the customers. But our application storage customers are getting bigger. Our IT backup customers are getting bigger. Media and entertainment customers are getting bigger. They're powered by – deals are bigger because they are integrated into their other platforms. But frankly, all four of them are larger organizations. If you think about the – we talked about the – we gave a sample of customers at – two of whom which did $50,000 ARR, one which did $100,000 ARR. All of those were application storage customers. The – on the call, we talked about the customers that each expanded by over $100,000 from existing customers. Those are application storage customers. So I would say all four are meaningful and strategic to our upmarket momentum.
Ethan Widell: Got it. That's helpful. Thanks. And then as you aim for a nice ramp-up for B2 in the coming year, are there any other cost levers that you can pull for margins besides those you spoke to last quarter?
Gleb Budman: [Zach], are you referring to gross margin or operating margin or free cash flows?
Ethan Widell: Yes. More operating margin, but anything that you can speak to?
Marc Suidan: Yes. I mean, on the – listen, our operating leverage is $0.75 on the dollar, right? So our OpEx will roughly be kind of in line dollar for dollar in 2025 what it was in 2024. So we're holding the line because we did that whole zero-based budgeting exercise where we've been able to redeploy investments into sales capacity. And that's allowing us to fund all that growth, and while holding the OpEx line there. So that should create some really good operating leverage, and that's what will get us to be free cash flow positive right around Q4 of 2025. Now in terms of additional cost opportunities, I would tell you the culture that's always been at this company and that we're instilling is always scrutinize and rethink everything. Anything that's available that we could do more efficiently, we're always going to look to do. So this is not just a onetime exercise that we just did. It's kind of the ongoing part of our culture going forward.
Ethan Widell: Understood. Well, I appreciate the extra color. Thank you.
Operator: All right. Thank you, Zach. And that does conclude our Q&A session today. And with that, I will now turn the call back over to Gleb for closing remarks. Gleb?
Gleb Budman: Thank you. I appreciate it. I think we're really excited about the financial side of where we're headed, getting B2 to be over 30% growth in Q4 of this year, getting our adjusted EBITDA to be over 20% and in Q4, getting to free cash flow positive, both on an adjusted EBITDA and adjusted basis for free cash flow. Those are, I think, meaningful financial improvements to the way we have the company. We're excited about our opportunities that we're seeing with AI and the product innovations, the go-to-market transformation progress that we're making and our general path to Rule of 40. So I want to thank everyone for joining us today. I want to extend a special thanks to the Backblaze team, the changes and improvements we've made on the go-to-market front and on our platform is no small feat. In addition, while the cost-cutting we did in Q4 was hard, our employees have done an amazing job embracing the changes. I'm proud of the team's commitment to drive innovation in storage for our customers and partners and I believe will create significant shareholder value as a result. Thank you for joining us on the call. We'll see you next quarter.
Operator: Thanks, Gleb. And ladies and gentlemen, that concludes today's call. Once again, you may disconnect. Have a great day, everyone.